Yu Guo: Good morning, everyone. I am Guo Yu Godfrey, MMG Chief of Staff. Welcome to our 2025 Annual Results Investor Conference. Today, there are 55 participants on site and 123 online. A quick note for our investors attending in person. Inside your seatback, you will find the Chinese version of the results presentation booklet. Please contact my colleagues at present. First, I would like to introduce the leadership attending today's meeting. Mr. Cao Liang, Chairman of the Board; Mr. Zhao Jing, Chief Executive Officer and Executive Director; Mr. Qian Song, Chief Financial Officer and Executive Director; Mr. Wang Nan, Chief Operating Officer; and Ms. Guan Xiangjun, Interim Executive General Manager of Commercial and Development. In addition, Mr. Troy Hey, Executive General Manager of Corporate Relations; Mr. Chen Xuesong, President of Las Bambas; and Mr. Xia Weiquan, President, Africa, also joining the meeting online. At the same time, we are honored to have the Chief Non-Executive Director of the company, [ Mr. Leung Cheuk Yan ] with us; and Non-Executive Director, Mr. Yue Wenjun, who is also present today. Please take note of the disclaimer on the screen. Today, we will report on the company's 2025 performance review, financial results, strategy and outlook. The management team will be available to answer your questions after the presentation. Now I would like to invite Mr. Zhao Jing, Chief Executive Officer of the company, to speak.
Jing Zhao: Thank you, Guo Yu. Welcome, everyone, to today's results conference. I'm very pleased to see so many investors, analysts and friends from the media here in person. And I also thank those joining us online. Let's now begin today's presentation. First, I would like to report on the company's safety performance. Safety has always been a core value at MMG and our commitment and focus in this critical area have never wavered. In 2025, the company's significant events with energy exchange frequency was 0.8 per million hours worked. Total recordable injury frequency was 2.1 per million hours worked. While our safety performance consistently ranks favorably among peer companies of the International Council on Mining and Metals, safety indicators showed a slight increase compared to 2024. Therefore, we emphasize that the company will continue to focus on risk management and advance the prevention and control of high potential injury events. In practical terms, before any task begins, all potential risks, especially those involving personal safety must be fully identified and effective control measures implemented in advance. Work can only proceed when risks are under control. Safety is not just a slogan on the wall. It is embedded in how our work is planned and executed and the commitment to ensuring every employee returns home safely. Going forward, we will continue to maintain the highest standards. Next, I will cover the company's operational performance. I still recall that at last year's results conference, our company leadership mentioned, thank you, investors, for crossing the winter with us. Spring is about to arrive. Looking back now, for MMG, 2025 can be described as a spring of blossom and the harvest of fruit. It marked our first bountiful year. As you may remember, at the end of 2022, our Las Bambas mine faced 3 consecutive months of transport disruptions. It was a difficult period for the company, and it was during that challenging time that I took on my role at Las Bambas. Now thanks to the efforts of the company's management and all employees. We can see the light at the end of the tunnel. Las Bambas has achieved 3 consecutive years of stable operations. And in 2025, its copper production ranked among the global top 10. At the same time, production of other metals, such as zinc, gold and silver has also advanced steadily. Building on the strong momentum in the metals market, our financial performance has also seen significant improvement. In 2025, we set new historical records. Full year revenue reached USD 6.22 billion, a 39% year-on-year increase and full year net operating cash flow reached USD 2.69 billion, a 67% year-on-year increase, driven by revenue growth. Our net profit after tax reached USD 955 million, a 161% year-on-year increase with net profit attributable to shareholders reaching $509 million, a strong lift from $162 million in 2024. At the same time, our balance sheet continued to improve. In 2025, net debt fell to USD 3.35 billion, gearing ratio further down to 33%, both hitting historic lows. It is a fundamental truth in our industry. A mining company's long-term growth is built on its resource base. For this reason, resource replenishment has always been a core strategic priority for MMG. We consistently strengthen our foundation through ongoing exploration of existing mines and through high-quality external acquisitions. According to the company's resources and reserve statement as of June 30, 2025, our copper equivalent resources are close to 27 million tonnes with copper resources about 18.6 million tonnes. Geographically, our resources are diversified across a global asset portfolio spanning South America, Africa and Australia. This broad spread effectively reduces our exposure to risk in any single region and then significantly enhances our overall operational resilience. Exploration is a strategic imperative for MMG, essential for both unlocking resource potential and maximizing asset value. Our growing operating cash flow enabled us to increase exploration spending across all our mines in 2025. We'll continue to prioritize these efforts to drive resource growth and ensure long-term sustainability. In terms of sustainable development, in 2025, we officially joined the United Nations Global Compact, embedding the highest standards of human rights, labor and the environment into our corporate culture. At Las Bambas, our 3 years of stable operations signify not only continuity in production and transport, but also our commitment to the symbiotic existence of the environment and the community. Through the Corazon de Las Bambas project, we support local enterprise development, leveraging the government's works for taxes policy. We support local education and infrastructure construction, ensuring that development dividends truly benefit thousands of households. In Australia, the Rosebery mine has been operating for 90 years. Since 1936, the vitality of this mine has been sustained, not only by the professionalism and dedication of generations of miners, but also by the long-term -- long-standing trust and cooperation of the local community. We're guided by the principle that corporate value is built on the foundation of social responsibility. From the Andes to Africa to Australia, we are committed to responsible operations that deliver sustainable value for the long term. With a diverse portfolio spanning copper, zinc, gold, silver, molybdenum, lead and more, MMG is well positioned to navigate volatile markets. And 2025 was a year that put that diversity to the test and delivered. The metals market was marked by strong performance across the board. Copper prices rose 44%, gold climbed 65%, and silver surged an impressive 148%. These gains were driven not only by industrial demand, but also by the growing role of metals as financial hedging assets. Copper, our core metal illustrates the structural shift underway. The energy transition from EVs to AI data centers has made copper the lifeblood of the new industrial economy. Yet new supply faces mounting challenges, social and environmental approvals, geopolitical pressures and rising extraction costs. The result is a widening global supply gap. In this environment, our diversified and resilient portfolio is a distinct advantage. We are embracing the new cycle with confidence, well positioned to create sustainable value for our shareholders. Our vision for copper is clear to build a scalable, future-oriented portfolio that delivers long-term value. This starts with maintaining stable operations at our existing sites while driving strategic growth through disciplined expansions and new developments. Our twin-track strategy in South America and Africa is the backbone of that vision. Las Bambas provides a foundation of stability and cash flow. In Africa, we are unlocking the full potential of Khoemacau. Construction of the 130,000 tonne expansion is on track for first half 2028 commissioning. And this year, we begin a pre-feasibility study for a potential 200,000 tonne expansion, a clear signal of our conviction in the asset. While organic growth is our core focus, we're also actively pursuing external opportunities. Through disciplined M&A, technological innovation and early-stage positioning, we'll continue to strengthen our resource base and expand our growth horizons. There's a clear thread running through our zinc strategy. We see beyond the metal itself. We are transforming from a pure zinc producer into a multi-metal value creator while embedding low-carbon principles into everything we do. At Dugald River, we are steadily advancing the green energy transition, bringing clean energy to the heart of operations. At Rosebery, we are unlocking value from byproducts so much so that precious metals now contribute more than zinc, rewriting the story of this historic mine. That concludes the operational update. Now I'd like to hand over to Mr. Qian to walk us through financials.
Song Qian: Thank you, Mr. Zhao. Good morning, honorable investors and analysts on site and online. I will present the financial performance and related outlook. As Mr. Zhao just mentioned, 2025 marked a historic breakthrough across multiple financial metrics for the company, driven by higher metal prices and increased production. Full year revenue reached USD 6.2 billion, up 39% year-on-year. EBITDA hit USD 3.4 billion up 67%, with EBITDA margin expanding to 55%, positioning us at a highly competitive level within the industry. Net profit after tax was around USD 960 million, up 161% year-on-year. Operating cash flow and free cash flow exceeded USD 2.7 billion and USD 1.6 billion, respectively, injecting strong momentum into our growth. On this foundation, our balance sheet continued to strengthen. Net debt fell to USD 3.4 billion, a historic low. Our gearing ratio improved by a further 8 percentage points to 33%, building an even more stable foundation for our future strategic initiatives. Now let's take a closer look at the financial performance of each mine. In 2025, Las Bambas delivered EBITDA of USD 2.83 billion, a 78% increase year-on-year with EBITDA margin of 64%. Ores from the Ferrobamba and Chalcobamba pits are blended with throughput reaching record highs and copper recovery consistently above 90%. With the mine achieving the scale effect of 400,000 tonnes of annual copper production, unit operating costs fell by 26%. Combined with higher copper and precious metal prices, this generated very strong cash flow. The Las Bambas joint venture declared its first ever dividend to shareholders with total distribution of USD 1.854 billion, of which MMG's share was USD 1.159 billion. Since March 2023, Las Bambas has now achieved 3 consecutive years of stable production with a very solid operational foundation. This steady step-by-step progress has brought Las Bambas to a major milestone from stable operations to dividend returns. It has truly become the engine and cornerstone of the company's value. At Khoemacau, following a profitable first full year after its 2024 acquisition, EBITDA reached USD 167 million in 2025, a 43% increase year-on-year. A new mining contractor is now fully mobilized and construction of the paste fill plant is progressing steadily. These efforts continue to strengthen the mine's operational foundation, paving the way for future capacity expansion. On February 6, 2026, construction of the 130,000 tonne expansion project officially began. Once commissioned, the mine's C1 cost is expected to fall below $1.6 per pound, positioning it among the global cost leaders and opening new avenues for future profit growth. We are fully focused on breaking through production bottlenecks and unlocking growth momentum with operational progress and market opportunities now moving in sync. At Kinsevere, EBITDA reached USD 100 million, up 49% year-on-year. This reflects higher production, lower cost, the continued ramp-up of the expansion project and the positive impact of higher copper prices. After a clear-eyed assessment of the challenges, including cobalt export quotas, power supply volatility and fiscal and tax uncertainties in the DRC, the company recognized an asset impairment of USD 290 million. We believe this impairment creates the conditions for Kinsevere to improve its asset base, shed past burdens and move forward with greater agility to unlock future value. We are confident in overcoming the power supply bottleneck and building strength through these challenges. On one hand, we're taking multiple measures to secure power supply, including continued deployment of a 12-megawatt diesel generator set and battery energy storage system, while actively expanding our power cooperation with SNEL. On the other hand, upgrades to core facilities are progressing in an orderly manner, including flotation line, roaster and electrowinning tank house, laying a solid hardware foundation for higher capacity and optimized costs. Now turning to the financial performance of our 2 zinc mines. In 2025, the Dugald River mine produced 183,000 tonnes of zinc, a 12% increase year-on-year, a new record since commissioning. Recovery rates remained consistently above 90% and core throughput exceeded 2 million tonnes for the first time. This strong production performance, combined with higher zinc and silver prices drove mine EBITDA to USD 176 million, up 4% year-on-year. The Rosebery mine continued to demonstrate the unique value of its multi-metal model, driven by strong prices for byproducts such as gold, silver and copper, mine EBITDA reached USD 168 million, a 36% increase year-on-year. Notably, mine EBIT also exceeded USD 100 million, 2.5x that of 2024. This multi-metal synergy has added significant depth to this century-old mine, positioning Rosebery to move steadily toward its next century. This concludes the summary of our asset financial performance. In 2025, we saw not only a significant increase in copper prices, but also month-on-month gains in precious metal prices. With effective cost control across our mines, gold and silver made substantial contributions to the C1 cost credit becoming an important pillar of our profitability. Supported by strong operating cash flow from stable operations and a favorable market environment, we will steadily advance our CapEx plans. In 2026, CapEx is planned between USD 1.6 billion and USD 1.7 billion, focused on 2 key areas. First, securing the presence, sustaining CapEx to strengthen our existing operational base focused on core mines such as the Ferrobamba mining area and the tailings storage facility expansion at Las Bambas, providing a solid foundation for stable production. Second, investing in the future. Approximately USD 400 million is planned for the Khoemacau expansion project in 2026, using growth capital to drive our future growth engine. The project's total capacity intensity per tonne of copper is expected to be controlled below USD 15,000. Every investment we make is aimed at more stable output, better costs and more sustainable growth. While advancing our CapEx plans, we remain firmly committed to maintaining a healthy balance sheet. Two key initiatives contributed to this in 2025. First, the inaugural dividend from the Las Bambas JV, of which MMG's share was USD 1.159 billion. Second, the successful issuance of a $500 million zero coupon convertible bond, replacing existing shareholder loans. Leveraging these initiatives, we made several early debt repayments, including the early repayment of USD 500 million in debt for the Khoemacau JV, further reducing our interest-bearing liabilities. As of the end of 2025, our gearing ratio reached a new low, and our asset liability structure was further optimized. Compared to our peers, our gearing ratio is now below the industry average. A healthy balance sheet is the foundation that allows us to navigate cycles and achieve stable long-term growth. Now let's warmly welcome Mr. Cao Liang, Chairman of MMG, to address us.
Liang Cao: Good morning, everyone. It's a pleasure to be with you today. This year's report is particularly meaningful for me. In my new role, I am deeply focused on governance and long-term strategy on behalf of the Board and our major shareholder. And I'm genuinely proud of what we've accomplished, steady progress and real results across the business. So I would like to thank Mr. Xu Jiqing, our former Chairman, for his effort and contribution to the company's development. Now on this slide, you can see our overall corporate governance framework. For MMG, our tangible strengths are clear, high-quality assets and operational excellence. But our true competitive edge comes from something less visible, yet more fundamental, our mature high standard governance principles and the professional international multilingual management team. This is the very foundation of our stable and long-term development and the key driver of our continued success. We have built a strong, reliable and effective corporate governance framework. The Board oversees the company's strategies and policies, ensures adequate capital and management resources to support their execution and provides comprehensive oversight of financial controls and compliance. Our Board committees such as audit and risk management, and governance, remuneration, nomination and sustainability provide strong support for strategic decision-making and risk control. At the operational level, the Executive Committee manages day-to-day operations and reports business progress to the Board. With extensive international mining experience, our senior management team ensures seamless coordination across asset operations, acquisitions, business development and stakeholder engagement. This year, we established the Innovation and Technology Steering Committee to guide the strategic direction and governance of our technology portfolio, driving digital transformation and smart innovation to power the next phase of growth. Looking ahead, we will harness the collective energy of our Board, employees, partners and stakeholders to build a truly global mining enterprise. With an open mind, we will build consensus. With pragmatic action, we will meet challenges. And with firm conviction, we will create lasting value together. And here on this slide, you can see our vision. Building on the solid governance framework, MMG's management has a long-term vision to create a leading international mining company for a low-carbon future. As the flagship overseas mining platform of China Minmetals Corporation, MMG plays a critical role in supporting its major shareholders' strategic goal of achieving over 1 million tonnes of copper production by 2030. On this journey, we'll advance on 3 fronts. First, driving operational excellence through innovation, controlling costs rigorously, maximizing efficiency and unlocking value through technology. Second, deepening organic growth, focusing on copper and strengthening our production base through optimization and expansion of existing assets. Third, positioning for external growth, building a robust pipeline of opportunities with an emphasis on early-stage projects to create new possibilities and growth momentum. With these measures, I'm confident that MMG will navigate any future metal market cycle with resilience and live up to the trust of every shareholder. For 2026, our goals are clear and our priorities are focused. On the production front, we expect full year copper output of 490,000 to 530,000 tonnes, and zinc output of 220,000 to 240,000 tonnes. To achieve this, we'll focus on 4 priorities: strengthening operational excellence, advancing stable growth, building financial resilience and delivering sustainable returns to our shareholders. Finally, on behalf of the Board, I want to express my sincere gratitude to all employees, shareholders, partners and friends for your continued trust and support. Thank you all.
Unknown Executive: Thank you, Mr. Cao. And thank you to all our leaders for their presentations. MMG attaches a lot of importance to market value management and shareholder return. We're of the view that market value is not only the market's fair judgment of our company's value. If we do a good job in market value management, it is also an important communication platform with investors. By listening to the market and investors, we can better understand market expectations, and we can also integrate internal and external wisdom. Now in 2025, altogether, we have organized 164 investor communication sessions. And then we also organized on-site visits to Las Bambas. For the whole year, there are more than 2,000 investors whom we have communicated with. So this is a reflection of the IR department's work. Looking into 2026, so on the screen, you can see 6 points. So we will continue to do a good job. We will work hard to achieve win-win for the company as well as investors.
Yu Guo: Now we will move on to Q&A session. You are most welcome to ask questions. First question, the lady on the second row here.
Hanyin Yang: Management, I am Hannah from MS. Congratulations on the company's outstanding results this year. I have a few questions. First, this year, well, it is March now. And then in Peru, it is quite close to the election. So regarding Las Bambas, can you comment on the overall operation and also some update on the Peru election? Second question, for Phase 2 Khoemacau, it was approved, and it is expected that it would be commissioned in the first half 2028. In relation to the amount of resource and production volume, do you have concrete plan and goal for the 15th Five-Year Plan? In Canada, for the copper zinc mine, will there be some projects that will be started? Third question. So regarding the Brazil acquisition, what is the latest status? Do you have any time line that you can share with us?
Jing Zhao: Thank you for the questions. First question is about Peru and Las Bambas operation and also the impact from their election. Well, Mr. Chen is now responsible for the operations of Las Bambas. I will defer to him. And then later on, I will elaborate. And then the next question is about Phase 2 of Khoemacau production volume. And then we will ask Mr. Chen to answer and Mr. Wang can supplement. And then regarding Brazil acquisition, Ms. Guan can comment. Okay. Mr. Chen, please. Can you please answer the question on Las Bambas?
Xuesong Chen: Okay. Thank you very much for your question. For Las Bambas, for 3 consecutive years, we achieved very stable operation. In 2025, we had very good production outcome. As you said, in Peru, in April this year, they would have election. In order to stabilize operation, together with the local communities and various tiers of government, we had already entered communication -- forward-looking communication and continuous dialogue. At the same time, we have put in place a contingency plan. On site, we have established a strategic mine reserve so that for our mine, even under special circumstances, it can still achieve stable production. Besides, we will continue to pay attention to external situation and make adjustments to our strategies in order to guard against risk. In this way, we can ensure the security and stability of our annual production.
Jing Zhao: Thank you for the question. Let me supplement. Las Bambas has been operating in Peru for more than 10 years. And over the past 10 years, we had seen the changeover of government and President a number of times. So our major work is to ensure stable relation with local communities and government. At the same time, there is also local project in Las Bambas to enhance our community relations. So basically, we focus a lot on making all preparations with local communities and local government. As I said earlier, in order to guard against risk, we have done a lot of preparation to stabilize production. For example, reserve and also supplies of important materials are being ensured so that we have the room -- enough room to guard against risk. That's the first question.
Xuesong Chen: Next question about Khoemacau Phase 2. Regarding Khoemacau Phase 2 project, in -- at the end of Q1 2028, it would achieve 130,000 tonnes of capacity scale. And then during 15th Five-Year Plan period in 2026, in the first year of the 15th Five-Year Plan, we already started the Khoemacau 200,000 tonne pre-study or examination. So by 2030, we believe that we are able to achieve the production scale of 200,000 tonnes.
Jing Zhao: Mr. Nan, please, can you supplement?
Nan Wang: Yes. Yes. Let me supplement. Regarding resource volume at Khoemacau, since MMG's takeover, we have already started a lot of exploration work. At present, a lot of exploration equipment and personnel have already entered the site and have started work. So we firmly believe that in 2026 and the years thereafter, through all the exploration work of target areas and actual exploration work as well as exploration work by drones, we will be able to expedite our work.
Hanyin Yang: Well, regarding the company's mines, well, not only about Khoemacau reserve and production target, I would like to also ask about the other mines during the 15th Five-Year Plan.
Jing Zhao: For the 15th Five-Year Plan, we are now devising the strategies. And when we have clearer guidance, then we can let the market know. The next question is about the Brazil Nickel project. Ms. Guan, please.
Xiangjun Guan: Thank you for the question. Now actually, last year, in October, our company announced to the market an update on our exploration work. As said earlier, regarding the project, we have put in place a 3-year exploration plan. So through these 3 years exploration work, we hope to be able to enhance the Izok and High Lake mines resource volume. Based on current exploration result, especially the work done last year, progress is very satisfactory. However, we will do further analysis so that our resource volume this year can be better realized in the exploration report. Regarding our work this year, we'll continue our exploration work, and it will continue in the coming 2 years. Regarding the development plan, for this asset, resource volume has a good foundation. However, it is close to North Pole. So there is a lack of infrastructure. So in the past almost 10 years period all along, we have been urging the Canadian government to work more on infrastructure, including roads and ports. And when various governments pay more attention to critical metals, the Canadian government had also enhanced this item in their agenda. So recently, we have expedited our work with the Canadian government and also local indigenous villages communication. So we can only develop this project with the support of local government and indigenous communities. So regarding this project, it is going to be of a longer term. Comparing with the Botswana expansion project, this is going to be of longer term. Early this year, well, you can see a better relationship between China and Canada. This is a good timing. It is favorable to our further studies and further plan of this project. The second project is about Brazil Nickel, okay? At present, we are in the process of EU's approval. And at present, we are working closely with another working partner to get the approval. So we hope that within first half this year, we can get the approval from EU and then we can complete the settlement of this project. Thank you.
Yu Guo: Okay. The gentleman on the first row, please.
Unknown Attendee: Congratulations on your good results. I have 2 questions. I'm a reporter. For Las Bambas, last year, copper concentrate produced 410,000. This year, the target is 400,000 tonnes. So it is rather conservative as a target. Is it related to the election? What will be copper price like in 2026? Are you going to spend some CapEx on the expansion of other potential projects?
Jing Zhao: Thank you for your questions. You talked about 410,000 tonnes Las Bambas production volume and this year's estimate. Well, Mr. Qian can comment and then our CFO will talk about CapEx.
Song Qian: Thank you. Let me -- thank you for your question. In 2026, we believe that regarding our production volume guidance, it is going to be a reasonable one. Based on existing resource volume and foundation, we will maintain a high level production. So we will optimize the Ferrobamba and Chalcobamba pits. At the same time, for the process plant and also related facilities and technology, we will make investment. So we are now in the process of assessment of various options. When we achieve critical progress, we will disclose to the market. We think that the existing production volume guidance is a reasonable one. It is not a very conservative one.
Jing Zhao: Right. Mr. Qian, please.
Song Qian: Regarding copper price outlook, well, we are positive, especially for the long-term copper price increase. But for short-term copper price, we will not make a concrete judgment. That's the first point. Secondly, regarding CapEx, in 2026, our CapEx will be at USD 1.6 billion to USD 1.7 billion. Now we have taken into consideration the market environment with rapid increase in copper price, how can we deliver maximum return to shareholders? We'll seize this opportunity to increase production volume as soon as possible. So we are thinking of different solutions in different angles to increase our production volume. At Las Bambas, our plan is that next year, we will increase CapEx by USD 800 million to USD 850 million on upgrading and revamping existing production facilities. And just now, we already reported that at the existing process plant and also the extraction plants, we will build infrastructure. And for existing infrastructure, we will redevelop and relocate them. At the same time, at Khoemacau, we plan to complete the Phase 2 expansion project. And in February this year, that had started already. For the whole year, that will mean an increase of expenses by USD 400 million.
Unknown Attendee: Just now in your booklet, you stated that by 2030, you will achieve copper production volume of 1 million tonnes. So is it possible that there are some potential expansion projects that have not been announced yet? Do you have that consideration?
Jing Zhao: At present, for China Minmetals Group, there is a strategic goal by 2030 to achieve 1 million tonnes. And for MMG, as an important overseas resource developer and operating platform of China Minmetals, we will try our best to help the group to achieve this goal. However, we still have to look at our existing operation of our good quality assets and do a good job. At the same time, we will also identify internal organic and inorganic growth potential. We will let the market know right away as long as we can satisfy market disclosure requirements.
Yu Guo: Okay. The lady on the second row, please, can you please briefly introduce yourself?
Unknown Analyst: Management, I am from -- I'm [ Merriam ] from Merrill Lynch. Congratulations on the outstanding results. I have a few questions. First, just now, you said that very quickly, you will formulate a 5-year plan. So do you have a concrete time line in which month or in which quarter will it be released? Second, regarding your dividend policy, what is your dividend policy? This year, if copper price continues to remain high and if cash flow improves, then this year, is there the possibility of dividend payment? Third question, you have a USD 170 million loss from a kind of hedging. So what is your hedging policy in relation to your mines? And in the future, how do you see this situation to evolve? My fourth question is, at present, in Congo, regarding cobalt, will there be production? And you still have quota of a few hundred tonnes. So how are you going to deal with it?
Jing Zhao: Thank you for your questions. First question is about MMG's 5-year strategic plan. So as I said earlier, we have started to formulate our coming 5-year plan. And now we have to look at the overall group and various mines strategies for the coming 5 years. We are working on it now. And at appropriate time, we will make disclosure. Regarding dividend and hedging, Mr. Qian will answer. And for cobalt in DRC, I will ask Mr. Weiquan to answer.
Song Qian: All right. Regarding dividend policy of our company, we attach much importance to shareholders' return. At the same time, we will put in place very prudent long-term asset allocation framework so as to ensure a stable return for shareholders, and we can also meet future capital needs. Every year, the Board assesses our company's financial position and make decision on dividend. At present, if you look at the order of capital allocation, first of all, we have to support organic and extension growth projects so as to make sure that given the current environment, we can make sure that our production is favorable to our long-term value and shareholders' return. Capital will be invested into projects that are higher than investment cost in terms of exploration and expansion. At the same time, we want to lower our debt level. And number three, we will try to remove obstacles in paying dividend. According to Hong Kong laws, listed companies can only pay out dividend from retained earnings. As of end 2025, we have accumulated retained loss of more than USD 500 million. So the number has already decreased by about USD 200 million. In 2025, our main mine, Las Bambas already distributed dividend to direct shareholders. And it had already reduced the accumulated loss to the parent company. So when conditions are right, we will carefully consider the situation, and we will then make decision to pay dividend to shareholders.
Jing Zhao: And then regarding to value preservation, well, the management considers this as a very prudent risk management measure. We will also strictly comply with internal control process of MMG. By doing value preservation hedging, we can ensure certainty of cash flow. So we do not only consider market circumstances, we will also consider overall operation of the company. MMG's goal in hedging and value preservation is to ensure that we will not be affected by downside risk, especially when the market is volatile. We want to ensure safe cash flow. At the same time, we can enjoy the benefit from upside in the market. So for our annual strategy, we do not have a ceiling in terms of hedging. We want to make sure that it would be -- that there would not be excessive hedging. At the same time, we do not allow speculative hedging activities. I would like to supplement that when it comes to such measures, it is part of our approval process every year, it has to be evaluated and it has to be scrutinized. And based on our operating plan and risk situation every year, we will make decisions. So we are very prudent in risk management. So we are positive in relation to the long-term fundamentals. At the same time, we'll consider short-term factors that may lead to short-term volatility. Those factors are also carefully considered by us. So all the hedging decisions will be in line with our annual strategy devised by the Board. We want to make sure that these 2 are consistent, and we will make sure everything will be stable. Yes. Now the Board approves an annual hedging strategy. And in fact, we do have a preestablished ceiling or upper limit, and we won't go beyond that ceiling or upper limit. That is the point I would like to correct on. Now Mr. Xia, please.
Weiquan Xia: Regarding DRC, cobalt sale quota and also Kinsevere production. In 2025 for Kinsevere, we have got 75 tonnes of cobalt quota. In 2026, based on existing communication, we believe that the quota will be 30 tonnes per month. And the annual quota document has not been released yet. Our company will actively communicate with the government to strive for more quota. As of the end of February 2026, regarding the 2025 quota, there are 30 tonnes of cobalt metal that had been already packed into vessels. And for 2025 and 2026, if all cobalt quotas are sold, then based on the cobalt price in February 2026, we believe that Kinsevere can achieve a USD 25 million revenue. And then regarding production strategy, given the current market environment, whether our company will resume cobalt production, that will depend on the market and also regulatory changes. We'll also consider the government's quota policies. So we are prepared. We are ready to resume cobalt production any time.
Yu Guo: Next, the gentleman on this side, please. We have adequate time today. So don't worry, you will all have opportunities.
Jingshan Feng: Management I am Feng Jingshan, Jimmy from Citi. Congratulations on your outstanding results. I have 3 questions. First question for Mr. Zhao. Looking at your 15th Five-Year Plan, you have the plan to produce 1 million tonnes of copper. So will it be mainly from internal growth or you need to do M&A? And then what is the project progress in Peru? And then what will be your interface with MMG in relation to spin-off or stripped mine resources, will they be incorporated into MMG or China Minmetals Group? That's my question.
Jing Zhao: Thank you for your question. This is a challenging question. Starting last year, we set this goal of 1 million tonnes of production. So now we are producing 500,000 tonnes within MMG. And then there are a few 10,000 tonnes in other areas. So that explains the remaining 500,000 for 1 million. So basically, they are from the few greenfield projects. You mentioned those projects or assets and there are some stripped assets. And just now, you also talked about Glencore in Peru. Those are also greenfield projects. So they are some major components. Apart from greenfield, we do not rule out M&A. So regarding 1 million tonnes, I think there are 3 parts. One is the existing -- the other -- the existing ones that are under production, the other is those that are within exploration. The other is the existing ongoing projects. So for the Peru projects, I think 10-odd years ago, around in 2008 and 2009, we made some acquisitions. And there has been a certain time period in the past that we plan to develop it, but it is in the south of Peru, and it is to the north of Las Bambas, but then there are different community concerns. But during the development process, there are community issues in nearby mines. So we were not able to continue to work. So our work was suspended in 2012. And then at that time, we also did some maintenance. After the past 10-odd years, there are other mines near that project. And later on, neighboring community relations have improved. So the overall community situation has improved. Our relationship with the government has also improved. A few years ago, copper price was only $2. Now it's $5 to $6 already. So all these are favorable factors. And now for the majority shareholder, we have taken note of these positive changes. So starting last year, we started to do some study and research, and we have formulated teams. Now we have got a 20-odd person team. There are Chinese and also foreigners in the team. So gradually, we have been ironing out some issues, and we have also renewed some scientific studies. Can we complete the work within the 15th Five-Year Plan period? We will do our best. We cannot guarantee. But then actual conditions have seen quite big improvement. So can they be incorporated into MMG's resources? Well, we have to wait and see. You talked about 3 other copper assets. One is in Pakistan, 20,000 to 30,000 tonne production volume. There is one in Afghanistan and Pakistan. So in 2008 and 2009, that was acquired in Pakistan, that project was newly explored. It is quite heavy grade or heavyweight one. Well, we are not that familiar with those projects. They are related to another listed company, but those projects are up to 10 million level in production. And will they be incorporated into our listed company and also whether Glen will be incorporated into MMG, our focus is to operate our existing assets well. There are 3 mines that are in production. The 3 are copper mines, 2 are zinc mines, and then there is a greenfield project in Canada, Izok Lake. So for these projects, we want to stabilize production volume. We want to enhance their assets. And then there are also early-stage exploration and so on. We have to work well in cost control and CapEx. We are already very busy with all these work. Besides, we need to maintain good relationship with local communities and governments so as to ensure stable, highly efficient operations. On this basis, we will also consider M&A, not only assets within our group, but also external assets. And then we will comply with all the rules. So we will do all necessary due diligence and assessment. We will comply strictly with all the requirements of the Hong Kong Exchange. And then under the supervision of all nonexecutive directors, we will make sure to deliver transparent disclosure.
Jingshan Feng: My next question is about CapEx in 2026. Just now you said that there would be a bigger increase of CapEx for Las Bambas. Regarding subsequent CapEx, how should we consider its continuity? So in the future, will it be more or less the same in 2026? Or will it go back to the past level? So for future production volume at Las Bambas, will there be some room for increase in the future? Looking at 2026 CapEx, there will be some increase. Looking at current copper price, your free cash flow is quite adequate. So in 2026, regarding debt reduction and dividend, how are you going to split the free cash flow, the remaining free cash flow?
Song Qian: Thank you, Jimmy. Regarding CapEx, well, every year in our budget, we will consider the next year's CapEx plan, and we will also disclose to the market. For future years arrangement, so we have to wait till the process being completed in the second half before we can disclose. And then you also asked a question about -- okay, yes. Yes. As you said, strong market growth delivers to the company very good cash flow performance. And regarding utilization of cash flow, as I mentioned earlier, we will follow the order that I mentioned. We have to first make sure that we can deliver the organic growth projects. And at the same time, we will also do exploration and development of neighboring areas to make sure that existing operating projects can stabilize production. And finally, we'll consider to improve dividend policy limitations so that our company will gradually possess the conditions to pay dividend to investors.
Jingshan Feng: My last question is regarding your one-off expenses and loss. In the second half of the year for impairment and hedging, if these are accelerated, then profit is very good. For one-off loss, just now you talked about your policy of hedging. In 2026, given your expectation about copper price, this year, regarding your hedging policy, how will it be executed? Yes, I know that there is upper limit, but how -- what will you consider in the execution of strategies for hedging loss in 2026, how do you see will be the profitability? For impairment for Kinsevere, there was one big provision. In the future, regarding the other mines, what is your expectation about impairment? And will there be further impairment risk for Kinsevere? That's all from me.
Song Qian: Okay. Let me continue my answer. Thank you, Jimmy. For hedging loss, well, my view is our company wants to make sure the stability of our cash flow. At the same time, we want to enjoy the benefits from market upside. This is the major goal. So the inevitable result will be the hedging. We want to make sure that it will be opposite to our sales direction. So when price increases on one hand, my profit increases fast. I want to make sure that at the same time, for the hedging work that I have done, it may lead to a loss. It will lead to a loss. This is for sure. So looking into the future, we will still put in place a sound risk control policy to make sure that while we enjoy benefit from market upside, we can still avoid or prevent some uncertain factors that may lead to important threats done to our cash flow. So we want to guard against that. So that is our basic policy. It will not change. Your second question is about impairment. Regarding impairment at the end of each year, according to rules, listing company rules, we will do an impairment test on all our mine assets. The principle is to compare the recoverable amount and the book amount. If recoverable amount is lower than the book value, then that part will have to be subject to impairment. At the end of last year, we have prudently assessed various mines, and we realized that for DRC, as reported earlier, the cobalt policy -- sales policy has changed, and there are issues about power supply, and there is also unstable fiscal policy. So for the recoverable amount, there is a gap of USD 290 million. So that's why we made the impairment. Apart from that, for all the other mines, we have rather adequate headroom. We have quite adequate room. So at the moment, we do not see any impairment risk. For Kinsevere, power supply is such that we are trying our best to resolve the problem. Production system is ramping up for copper production. So I believe that in 2026, at present, we do not see any big need of impairment.
Yu Guo: The gentleman on the third row, please.
Unknown Analyst: Management, I am [ Lu Zhen Xiang ] from BOCI. I have 2 questions. First, regarding Las Bambas. This year, CapEx was quite big. So for this mine, how long will this high CapEx last? And for this mine, how much is the maintenance CapEx besides -- this mine has started dividend distribution. So what is its dividend policy apart from CapEx? Is it true that dividend will be paid out as much as possible? My second question is, some time ago, I read some media reports saying that the DRC government may raise electricity tariff. So regarding Kinsevere, do you see an increase in tariff really?
Jing Zhao: Okay. Thank you for your questions. Regarding Las Bambas expenses and dividend, I will defer to Mr. Qian. For electricity tariff, Mr. Xia can answer.
Song Qian: Thank you, Mr. Zhao. Thank you for your questions. Regarding Las Bambas, expenses are all maintenance expenses. There is no growth expenses. As I said earlier, for the 2 major mines of ours and the process plant facility, the TSF and so on, all these need maintenance expenses. The purpose is to maintain the production capacity of 400,000 tonnes at the TSF. As said earlier, at Las Bambas, since our takeover, the original owner designed capacity was only 300,000 tonnes. But in our hands, we adopted different ways to increase production steadily so as to reach 400,000 tonnes. But the grade of the mine is being lowered, and we are doing our best to stabilize production. So for these measures, they also entail maintenance CapEx. So that's the reason. If the market maintains the current strong trend, then it can generate strong cash flow. And as you said, if there is no other expansion or neighboring M&A, then we will try our best to distribute dividend as much as possible. So dividend will be given priority.
Jing Zhao: Regarding electricity tariff, Mr. Xia, please.
Weiquan Xia: For DRC government, right now, the tariff is around USD 0.10, and we have not received any update in relation to tariff increase.
Unknown Attendee: Congratulations to you, management. Last year, your results were very good, your cash flow, your liabilities level all performed well. So that is the result of many years of work at Las Bambas after there was a problem. Mr. Zhao had done very good work to achieve this result. So I'm grateful. I am an individual investor. Last year, in October, I attended this event as well. So it has been less than a year, but you have achieved a lot. I have a question about supply, global supply. At present, copper price rises fast, especially this year, no matter whether you talk about year-on-year or half-on-half basis, there was a big increase. So will this increase mean very fast increase in CapEx globally so as to increase supply? Now my concrete question is, first, will there be big investment into the capital market? If yes, then this increase in capital investment, of course, there will be a lagging behind effect. A few years later, it would lead to a meaningful increase in supply. So there would be an increase of a considerable scale in supply, right? Besides, we will consider also scrap copper and also existing mines. So with an increase in production volume, there may be a lowering in grade. So overall speaking, in the coming 5 years or even longer period, how will be supply like 5 years later, that is in 2030? For MMG in 2030, according to my calculation, comparing with last year, there will be an increase by 200,000 tonnes. So within the coming 5 years, if copper price stays high or if there is a big growth, then I think the situation will be very good. So my question is basically about supply.
Unknown Executive: Thank you. Thank you for your question. Last year, we had much communication. Thank you very much for your support. Regarding CapEx, well, you asked a very difficult question. I will try to answer it because it is more of a macro level. Regarding investment, well, copper as a metal has many financial attributes. Looking at the current industrial demand, it is not satisfied yet. So in the future, if you look at AI, big data centers, electricity and other industries demand, there would be continuous increase in revenue. And in the past 10 years, many big mining companies invested not as much as what we have expected into project development and infrastructure. So in the past 10, 15 years, there have not been many newly developed mines. So -- as a result, well, copper price will have to reach a certain high level in order to motivate these mining companies to put in big CapEx. So based on what you said, the current price is still not enough to lead to very fast increase in CapEx, right? Well, apart from rise in copper price, other costs also rise quite significantly. So various mining companies will have their own judgment about their psychological copper price or to which level the copper price has to reach before they make big investment. And based on development timetable of various recent projects, the development cycle is getting longer and longer, sometimes more than 10 years. And that also includes getting local approval. For Las Bambas and our Peru projects, we have seen that. So for a new project, from formation of the project, including all the environmental assessment and all the audits and so on, the whole journey is very long. There may be other sudden happenings. So we think that very often such cycle will be longer than 10 years. So we believe that certain conditions have to be met before an increase in investment. Different companies will have different judgment. Some may have mines with better endowments, and they would advance their investment. But for other situations, well, the cycle may be longer. So now do we need to do more exploration since the cycle has lengthened? Well, different cycles are investing more into maintenance and operations and exploration in order to achieve growth. Now you talked about scrap copper as well. In fact, for steel and iron, we have seen the situation already. Different metals have different cycle. So when the demand-supply equilibrium is reached, well, we have attended some other association meetings, but it seems that copper -- the copper equilibrium has -- will not be reached so quickly. So -- I don't know whether Ms. Guan will supplement.
Unknown Executive: Let me supplement. Looking at current dynamics in the market, basically, people or everybody likes copper, everybody likes to increase resource volume and production volume of copper. For newly increased resource volume, it will save CapEx by working on green projects and M&A. But looking at current recent market transactions for BHP, hoping to acquire British and American resources or the merger with Teck and also some time ago, there were also some very hot transactions. Everybody wants to increase its exposure to copper through these transactions. So right now, for our greenfield projects and mature greenfield projects, there is a lag. So as a result, for big mining companies, they'd rather do M&A between companies rather than identifying new greenfield resources to develop. So regarding transactions, for mature projects, there is still inadequate mature projects in the market. That's the point I would like to add.
Jing Zhao: Well, I have 2 points to share with you.
Unknown Executive: Well, because of time, can you please be concise?
Jing Zhao: Yes. First point, for MMG, as said earlier, in 2030 or last year, there was an increase in volume by 200,000 tonnes. So based on what you said, the ratio of increase is quite big. This amount, 200,000 tonnes doesn't sound big, but then in fact, the impact is already quite good, right? So another point is regarding injection of assets. At present, looking at current copper price, operating cash flow this year should see an increase by more than USD 1 billion. Then in that case, you should have the strength to acquire some assets, other group's assets. So as a minority shareholder, I hope that this can be accelerated. So what do you think? For your first point, what is your actual -- what is your specific question? Okay. As we reported earlier, we give priority to existing expansion projects. For example, to stabilize the 400,000 tonnes production of Las Bambas and also Khoemacau, 200,000 tonnes. This is now underway. So these developments are quite certain in our existing pathway. You mean the increase of 200,000 tonnes? That also includes the volume in Southern Africa. So it is within our plan already. Regarding injection of assets and M&A, Ms. Guan, can you comment?
Xiangjun Guan: Regarding injection of assets, our view is this. For our company all along, we define our company as a growth company. So we will actively consider various M&A opportunities apart from organic growth. So we will consider other M&A targets, but we do not limit ourselves to assets owned by the group. We consider a wider scope. So we will assess our existing resource and reserve volume. At the same time, we will have to consider various risks and the economic considerations as well. So we do not rule out possible M&A of group assets. But if there are other opportunities better than existing assets within the group, then we will attach different priority. So we will assess the economic value of various projects that will be given more priority.
Jing Zhao: Well, in 2024, we acquired Khoemacau. So you can see that basically, we will select a region with better potential to do M&A, and we rely on our own operation and exploration capability to do a better job. And of course, we will give a lot of deep thoughts and consideration. So in the future, regarding future M&As, they will be in line with our current M&A strategies. Any further questions? Last question, please.
Unknown Analyst: Management, I am from Huaxin Securities. I have a question regarding Las Bambas. Last year, the cost was USD 1.14 C1 cost. So this year, it's slightly higher than last year, right? So what is the consideration? Is it because of the mining grade coming down? Or is it because an increase in logistic costs? So the recovery rate from the milling or process plant would be higher, right? So that's my question.
Jing Zhao: Mr. Qian, C1 cost of Las Bambas, please.
Song Qian: So you are asking about C1 cost, correct? Well, you may have realized from estimates and long-term investors of our company will know that our guidance, our production guidance and so on, our budget are relatively conservative because we want to make sure that even if there are unfavorable changes in the market, all our estimates and budget and assumptions can support our company's long-term development. So they will deviate a bit from our actual cost as a result. Last year, our guidance indicators are higher than the actual C1 cost metrics. So given the same price assumptions, if we adopt the current market price, then for Las Bambas, actual production cost may be lower than our guidance by USD 0.20 to USD 0.30.
Yu Guo: Okay. We will give this lady an opportunity.
Unknown Analyst: I'm [ Zhu Wei ] from Goldman Sachs. I have a question about strategies. Now how do you evaluate M&A opportunities in the market? 2 years ago, you said that after Khoemacau, copper price has been breaking record. And so how are M&A opportunities of copper right now? Apart from copper, well, you have also acquired Brazil Nickel. So for other basic metals and gold and precious metals, which will be your focus in M&A?
Jing Zhao: Ms. Guan, please?
Xiangjun Guan: Greetings. Well, talking about our strategies, well, the timetable is longer. From short-term M&As perspective, in the coming 3 to 5 years, if we look at commodities, we like copper most. But as you said just now, in the market, everybody likes copper. This is a consensus, so to speak. So right now, if we want to acquire a large-scale producing copper asset in a good region, then basically, there is no such opportunity right now. So what we need to consider is -- so we may have to lower our target a bit from this high year's target. So we will focus more on Latin America and Africa. There are certain risks relatively speaking, but we have mature experience in these regions. So we like those projects with a certain scale. But then if you look at projects that are being built right now, there are still some opportunities. For greenfield projects, we like more mature greenfield projects. So no matter whether we are talking about permit available or the studies being completed to a more mature stage. So from a project point of view, we do have some targets that we are looking at. But for some of the targets, we think that within the near future, they may be available in the market. But right now, they are still not. So we are still doing technical assessments. From commodities point of view, we like best -- we like copper best. You also mentioned precious metals just now. For us, we will consider precious metals and also concurrent copper and gold assets and so on. But precious metals within the short term are not within our consideration.
Jing Zhao: Okay. Because of time, once again, thank you all for your interest and support for our company. And MMG is happy to develop a brighter future together with long-term capital and patient capital. We have prepared some snacks outside for you to enjoy. So thank you very much. [Statements in English on this transcript were spoken by an interpreter present on the live call.]